Operator: Good morning, everyone. Thank you for holding and welcome to the America’s Car-Mart Fourth Quarter and Fiscal Year End 2008 Conference Call. The topic of this call will be the earnings and operating results for the company’s fiscal fourth quarter and fiscal year ended April 30, 2008. Before we begin, I’d like to remind everyone that this call is being recorded and will be available for replay for the next few days. Your dial-in number and access information are included in this morning’s press release, which can be found on America’s Car-Mart website at www.car-mart.com. As you all know, some of the management’s comments today may include forward-looking statements which inherently involve risks and uncertainties that could cause actual results to differ materially from management’s current view. These statements are made pursuant to the Safe Harbor provisions of the Private Security Litigation Reform Act of 1995. The Company cannot guarantee the accuracy of any forecasts or estimates, nor does it undertake any obligations to update such forward-looking statements. For more information regarding the forward-looking statements, please see Item 1 of Part 1 of the Company’s Annual Report on Form 10-K for the fiscal year ended April 30, 2008 and its current and quarterly reports furnished to or filed with the Securities and Exchange Commission on Forms 8-K and 10-Q. Participating on the call this morning are Skip Falgout, Car-Mart’s Chairman of the Board; Hank Henderson, the Company’s Chief Executive Officer; and Jeff Williams, Chief Financial Officer. Now, I’d like to turn the call over to the Company’s Chairman of the Board, Skip Falgout.
Skip Falgout: Good morning, everyone; and thank you, operator. We’re pleased to announce this morning that we’ve reported net income of $6.048 million or $0.51 per diluted share for the fourth quarter of fiscal ’08 versus $2.1 million or $0.17 per share for the prior period quarter, and $15.033 million or $1.26 per diluted share this year versus $4.232 million or $0.35 per share for the prior year. In addition, overall revenue increased 29.1% for the quarter and 14.3% for the year with same-store sales up 30.3% for the quarter and 13% for the year, with most of these increases coming in the third and fourth quarters. On the all important credit side, actual charge-offs decreased significantly as in delinquencies and our provision for credit losses, which were down to 20% of sales for the fourth quarter compared to 26.6% last year and on an annual basis at 22% versus 29.14% last year end. Jeff will get into a lot more detail about these numbers in a minute. As I was thinking about our prepared remarks today before we addressed your questions, I took the time to review our previous conference calls this year. In each call, we discussed the initiatives we were or had implemented to improve each of the core elements of our business, purchasing, underwriting, sales, and collections. I can tell you know that our management team and all of our associates have worked diligently to make sure these initiatives were properly introduced, tested, refined, and woven into our basic business model. In the steadily improving metrics by which we measure our day-to-day operations, as well as the improved quarter-over-quarter and year-over-year financial results are solid evidence that we’re gaining traction. We believe we are a stronger more resilient Company by virtue of what we’ve gone through in late fiscal ’07 and during ’08, and we’re better prepared than ever to continue our growth and profitability. Hank will address and update you on many of things we’ve done, all of which we believe add to Car-Mart’s competitive advantage. Also, since we know it will come up, we recognize that higher costs of living for our customers will make for a challenging macro environment for us. However, that is exactly the environment that our core customer-base has endured since our inception as a business in 1981 and arguably this core group of customers will increase the number in the future. Times have always been difficult for the paycheck-to-paycheck individuals and families and it is in this type of environment that Car-Mart has historically and will in the future thrive on. As Hank said in the press release today, although we’re not immuned to this difficult macro environment, we’re not as directly affected as other retailers and lenders since we sell basic transportation where there really is no alternative but to have a car or truck. Our success has generally been more the result of our proper execution of our business model and less as a result of the external macro situation. We will have to continue to improve all aspects of our business. This is also a huge opportunity for us as the number one buy-here/pay-here dealer in America. We truly have no fear and we believe that what we have done and are doing internally will strengthen every aspect of our business, and we are positioned to make the most of this opportunity. Hank will discuss this further, but I’d like to say that he and his team have done a great job of implementing the initiatives and building our infrastructure so that we can continue the progress we’ve made internally this year into fiscal ’09 and beyond. Now Jeff will discuss the fourth quarter and year end results.
Jeffrey Williams: Thanks, Skip. As mentioned in the press release, our top line revenues for the quarter increased 29.1% compared to the fourth quarter of last year. The increase was a result of a 25.3% increase in retail unit volume, a 7.2% increase in our average retail selling price, a 6.8% increase in interest income offset by $200 increase in wholesale sales. Same-store revenue increased by 30.3% for the quarter as we saw solid sales growth from virtually all of our dealerships. Sales levels in the fourth quarter were higher due to our increased advertising efforts and numerous other sales initiatives as well as stimulus rebate anticipation sales made throughout the month of April. Our down payment percentage of 7.5% for the quarter was right in line with our expectations, but was slightly below last year’s percentage only because of the stimulus sales efforts in April. Down payments for the entire fiscal year were up significantly to almost 7% compared to approximately 6% last year. For the quarter, our average initial loan term was right at 26 months compared to 25 months for the fourth quarter of 2007. The initial term was up due to the 7.2% increase in the average retail selling price quarter-over-quarter, $8,989 this quarter compared to $8,384 for the fourth quarter of last year. The average retail selling price for the quarter was up 2.1% from our third quarter’s average of $8,801. Sales revenue generated by our payment protection product increased efficiencies in our retail pricing as well as higher car costs due to the continuing high local market demand as well as some mixed changes to more expensive vehicles contributed to the retail selling price increase. It should be noted that we are seeing increasing income levels overall on our completed applications to support our higher average selling prices. Going forward, we expect to continue to see some growth in our average retail sales price when compared to prior year results, but we will work hard to minimize increases while insuring that we continue to provide our customers with the quality and mix of vehicles that they need. The increase in unit sales and the improved financial results were broad-based across almost all of our lots including our smaller and newer lots. This excludes the three lots in Texas that were closed during the fourth quarter. We are pleased to report that during the fourth quarter only a handful of lots did not produce positive economic profit on a standalone fully loaded basis. Management will continue to spend a significant amount of time working with individual lots to insure that the focus remains on producing real economic profit, if not already there, and maximizing economic profits for those lots that are already producing. Subject to various macro factors out of our control, we continue to believe that all of our dealerships, but particularly our newer dealerships, have capacity to increase sales volumes and gap profits and most importantly economic profits going forward. We will focus on writing good deals on the front end, including insuring that we receive adequate down payments and that the terms are set to match the economic life of the vehicle. Interest income was up 6.8% for the quarter, as average finance receivable balance was up about $23 million, offset by a decrease in the effective interest rate to 12.1% from 12.7% last year. For the fourth quarter of this year, our gross profit margin percentage was 43% of sales. This is up from 41.5% in the fourth quarter last year and the 43% is relatively flat with the third quarter. The recent increased gross margin percentages have resulted from significantly improved results for wholesale sales, which for the most part relate to cash sales of repossessed vehicles at or around breakeven increased efficiencies in retail selling prices. The gross margin generated from the payment protection plan product was slightly less than overall gross margins during the fourth quarter, but slightly above overall margins for the entire year. We will continue to focus efforts on purchase costs, retail pricing, and repair and transport costs and expect to see gross margin percentages around the current levels on a go forward basis. In the fourth quarter of this year, SG&A as a percentage of sales decreased to 17% from 19.4% in the same period last year and from 19.2% sequentially. The 240 basis point positive swing from the prior year demonstrates significant leveraging opportunities available to us as we look forward. The investments we have made in the corporate infrastructure over the last year and a half have allowed us to increase the top line and support a higher revenue-base on lower percentage based incremental costs. We will continue to look to leverage these investments into the future. The overall dollar increase in SG&A related to higher payroll costs, a large percentage of which related to performance based incentive consumption at the lot level and to increased insurance costs. Additionally there was a $500,000 or 71-basis point increase in non-cash stock based compensation during the quarter. We will continue to review our infrastructure needs to insure we have adequate support for our associates in the field, but feel that at the current volume levels we have a good solid structure that can continue to be leveraged. For the current quarter, net charge-offs as a percentage of average finance receivables was a very low 5.9% compared to 8.5% for the prior year’s quarter. Collections as a percentage of average finance receivables decreased slightly 17.5% from 18% for the prior year quarter, but increased to 67.9% from 66.1% for the full year. The increase in the collection percentages between years equates to right at $3.4 million in additional cash receipts in 2008 and this is on top of the $1.7 million in additional down payment dollars collected during 2008 based on the increased down payment percentage. The quality of the portfolio, the stead average loan term, higher down payments, and better collections effort have led to increased cash receipts and significantly better performance compared to last year. The average percentage of financed receivables which were current during the fourth quarter was 84% compared to 83% in 2007. We believe that the increase in the quality of the portfolio is reflected in the higher current percentage and the higher down payment percentages. At April 30, 2008, our 30-plus past due accounts were 3.1% compared to 3.4% at this time last year. Our allowance for loan losses remains at 22% of finance receivables at April 30, 2008. Because of the low level of charge-offs during the fourth quarter, the provision for credit losses was 20% compared to 26.6% fourth quarter of last year. We’ve seen a significant improvement in our recent, in our credit losses this year and are very proud of the efforts from our associates in the field. We have seen a significant increase in cash flows from operations this fiscal year. We reinvested this cash flow in an additional $29.6 million in finance receivables, $3.5 million in Car-Mart via stock repurchases for approximately 293,000 shares or 2.4% of the outstanding shares all during the third and fourth quarters, and upgrades to some existing facilities of $2.6 million so that those locations can continue to grow. Total debt decreased by about $159,000 during the fourth to $40.3 million and decreased $500,000 for the entire fiscal year. Total debt is down by $8.6 million from its high point in October of 2006. Our debt-to-equity stood at 29.4% and our debt to finance receivables was 19.4% at April 30, 2008. We will continue to view our future investment decisions from an economic profit perspective, which includes analyzing returns on invested capital on a location basis as well as potential future investments through our stock repurchase program. We remain very proud of our extremely healthy balance sheet and are excited about the opportunity to continue to leverage our strengths into the future. As we have previously discussed, our low leverage and our asset-based lending agreement have allowed us to remain unaffected by the recent turmoil in the credit markets. We are currently at prime less a quarter, 4.75% on our revolving credit facility. After the end of our fiscal year in an effort to take advantage of our relatively attractive current interest rate structure, we did enter a $20 million five-year interest swap agreement with our primary lender. Under the swap agreement, we will pay an initial effective interest rate right at 6.4%. That’s subject to change if our underlying tier pricing changes. Excess availability was $19.4 million at the end of our fiscal year. Now I’ll turn it over to Hank.
Hank Henderson: Thanks, Jeff. As Skip mentioned, we have made significant improvements to each of the core areas of our business. Our increasingly improved results throughout the year are indicative of what we’ve accomplished in purchasing, underwriting, sales, and collections. Through the improvements we’ve made in purchasing, we are doing a better job than ever stocking our lots with quality inventory. We have more of the vehicles that are customers want. In addition to the basic transportation vehicles, we also have a better selection of trucks, SUVs, and smaller more fuel efficient vehicles as well. Since the prices of trucks and SUVs have come down in the last few months, we have been able to obtain an adequate supply of these vehicles and their sales remain strong. We are working hard to insure that the customers we put into these vehicles cannot only afford the payment, but also the gas costs as well. Our internal scores have been higher for our customers buying the SUVs and trucks and our credit losses on these vehicles have historically been much lower. We will continue to focus primarily on providing basic transportation as we have for the last 27 years. However, we realize that a significant portion of our customer-base prefers trucks and SUVs and we are doing a good job of maintaining an attractive inventory of these type of vehicles. We’ve also increased our efficiency in acquiring inventory. Currently only about 10% or less of our vehicles come from options where costs do tend to be higher and we don’t have the opportunity to check out the vehicles as thoroughly as we would like in auction. We have increased our number of local sources allowing us to acquire better inventory at least cost. We have significantly lowered our acquisition cost for vehicle this year. This obviously helped increase our gross margins and we believe we’ll improve on this even more this year. On the underwriting side, we are obtaining great information and continuously building our database in our new credit scoring system. This tool has been extremely helpful in testing the quality of the loans we’re making; and in fact, we have seen a steady rise in the loan quality and scores since we first started using the system. The scoring system has been in use on select lots for the past six months and it is presently being rolled out Company-wide. The scoring system is proving to be a very beneficial tool for our managers in helping them approve the quality of their deals. This Company-wide rollout should be completed by the end of July. In our efforts to improve our underwriting, we have hired an in-house portfolio analyst to continuously scrutinize the data and to work with the scoring system information to continue to improve its predictability. This system which is unique to Car-Mart is a tremendous competitive advantage which will further set us apart from our competitors. As Jeff mentioned, our sales have been steadily increasing throughout the year. Our sales staff is training, merchandising, advertising are all much improved from a year ago and along with the improved quality over inventory we have seen an increase in traffic and our sales at our dealerships. Our advertising in which we have invested a significant amount for television commercials this past year has really begun to pay off. This advertising stresses our Car-Mart brand and our quality vehicles, experienced staff, and large numbers of repeat customers rather than simply promotionally driven. We believe this is one reason we are attracting more quality customers that may have been previously able to obtain conventional financing but now are in the buy here/pay here market. Car-Mart offers to those customers a reliable name brand which our competitors can’t offer. Also, our payment protection plan product has been a factor in our sales as well. This product been tremendously well received with penetration of over 94% of new sales where it’s available. This product is now offered in Arkansas, Alabama, Missouri, Oklahoma, and Kentucky, so it is now available in states that make up approximately 85% of all of our sales. We did very well with our sales in April and May and with we believe some help from the economic stimulus checks. We had a promotion similar to our annual tax refund promotion. This one being $199 down with a balance of the deferred down payment being payable upon receipt of the customer’s stimulus check. We were definitely ahead of all of our competitors on this promotion and were able to generate strong traffic across nearly all of our locations. Now we have seen a little slowing of sales after this promotion ended, but with the strong level of sales during the promotion we brought in many good customers that might not have bought a car without this extra help. As Jeff mentioned, all of the metrics related to credit losses were dramatically improved from last year and have been getting better all year long. The 3.1% delinquency rate, the 20% of sales credit loss in the fourth quarter, the increase in receivables that are current, and our significant drop in net charge-offs indicate that we are structuring better deals, selling better vehicles, and we are doing a better job in our collection efforts. We have many things on our plate for this ’09 fiscal year, but probably the single biggest item is to continue to increase the profitability of each of our stores. As part of this effort, we are enlarging a number of our existing locations to increase their capacity. Expansion projects are currently underway at several existing stores, El Dorado, North Little Rock, Magnolia, Arkansas; Muskogee, Oklahoma, just to name a few. Also, we have taken and will continue to take strong measures to improve our under performing dealerships. We have a high level of confidence that all of our dealerships can meet or exceed our internal economic profit goals and individually support our investments. Essentially our plan this year is: No Lot Left Behind. I will update you throughout the year on our progress. In addition, as we mentioned back in March, we plan to open four new stores this year, mainly in fill-in locations and presently we have no plans to close any existing stores. Finally, let me follow-up on what Skip mentioned regarding the cost of gas and the rising costs of living generally and how that affects our customers and their ability to buy and pay for a vehicle. Car-Mart was founded on the principle of providing quality vehicles at a reasonable price with affordable terms. Our customers have always had to stretch to make ends meet, and we believe we know how to serve this market better than anybody as evidenced by our high repeat customer percentage, which is well over 30% Company-wide and it is in excess of 40% at most of our mature stores. As this demographic grows, we have a huge opportunity to increase our business. Now grant it, there may be some that will drop off and not be able to buy a Car-Mart vehicle, but we believe we have an opportunity to add to our business as new customers look for financing and buy here/pay here becomes a much more viable alternative for them. Importantly remember, the large majority of our customers, probably 80%, are the same core customer group we’ve always had. Any improvements and enhancements we’ve made to our business have made us a stronger Company than we were two years ago. This makes us better prepared to not only succeed during more difficult times, but also to take advantage of the growth opportunity as more customers are attracted to Car-Mart. Most importantly we believe our success is more the result of proper execution of our best business practices than the effective and economic cycle, and we’ve seen quite a few since we started back in 1981. We have a deep appreciation and understanding of how to succeed and grow profitability in any business environment. That concludes are prepared remarks, so now we would like to move on to your questions. Operator.
Operator: At this time, the participants will now answer questions from the caller. I would like to reiterate that my earlier comments regarding forward-looking statements apply to both the participants prepared remarks and to do anything that may come up during the Q&A. (Operator Instructions) Your first question comes from the line of Dennis Telzrow – Stephens Inc.
Dennis Telzrow – Stephens Inc.: Couple questions, which I’m sure you probably expect, or actually one on… You mentioned your income levels are actually higher on applications, how much of that doe you think is driven by some of these customers who are being pushed down a category versus just your advertising? Guess some people would be surprised at that trend.
Hank Henderson: I think it’s a blend of a couple of things. I think we are anecdotally for managers I’m hearing about certain customers that they’re seeing that are higher than typical income levels, but I think the shift is also in that we’re being a little bit more disciplined and we’re probably having a few more turn downs on the folks with the lower income levels and I think a few of those turn downs also bring that average up overall, so I think it’s a combination of the two.
Dennis Telzrow – Stephens Inc.: You mentioned that June was a little slower than April or May, but my sense is it’s a still a decent month. Obviously, you probably borrowed some sales with those promotions.
Hank Henderson: You’re exactly correct, and that’s the term we’ve used our-self. We were very aggressive in April and May through our promotion and so, yeah, we went ahead and I’m sure we sold some in May that would’ve spread over to June, so you’re on target there.
Dennis Telzrow – Stephens Inc.: Last question, I’m sure the loss rate issue is a big sort of going forward, but is my… Would I be correct in assuming that you think sort of 22 plus or minus 100 basis points would be reasonable expectations for this year or what do you guys thinking?
Jeffrey Williams: Yeah, plus or minus, that’s a pretty good range.
Operator: Your next question comes from the line of Bill Armstrong – C.L. King & Associates.
Bill Armstrong – C.L. King & Associates : So just to clarify then, the stimulus promotion that you did, that was in April and May and it ended, what at like around Memorial Day?
Hank Henderson: It ended right at the last day of May.
Bill Armstrong – C.L. King & Associates : So was that sort of a rebate anticipation check promotion or were the customers walking in with those checks already in hand?
Hank Henderson : No, it was structured very similarly to the way we do our typical income returns promotion each year; although, this was the zero down. We did the, it was a 199 down where they buy the car and then set up a special payment when they get their check later to go ahead and get the jump on it.
Bill Armstrong – C.L. King & Associates : Since that ended May 31st, you’ll get a little benefit of that in the first fiscal quarter also then?
Hank Henderson: That’s right.
Bill Armstrong – C.L. King & Associates : SUVs and pickups, so you’ve increased your exposure in that category, prices or values of those vehicles have really dropped very sharply in recent months. It looks like you didn’t really have any impact on your gross margin, unless the other things that helped your margins just mask that. Could you talk about the impact on your margins from the prices of these vehicles going down so fast?
Jeffrey Williams: Basically our retail pricing is based on the cost of the car and as these vehicles have moved down in cost, we’re able to maintain or even get a slightly higher gross margin on the same vehicle, so it’s been a positive for us so far.
Bill Armstrong – C.L. King & Associates : So you didn’t caught? I don’t know if you heard CarMax’s call a week or two ago, but they had kind of gotten squeezed where the SUVs and pickups that they had in their inventory, the values had dropped while they were still sitting on the lots and therefore they had to mark them down just to move them and that hit their margins. You didn’t experience anything similar to that.
Jeffrey Williams: No, and our inventory time on our trucks and SUVs is less than 30 days. We don’t hold them like that.
Skip Falgout: They don’t stay on our line very long, then they’re gone so it’s really a different situation. We’ve actually benefited conversely from what CarMax went through is those things have come down the pipeline, we would see some pretty reasonable pricing on SUVs and trucks.
Bill Armstrong – C.L. King & Associates : Interesting, okay. That’s all I had. Thanks.
Operator: Your next question comes from the line of Daniel Furtado – Jefferies & Company
Daniel Furtado – Jefferies & Company: I just wanted to clarify an early comment, did you say that June sales are relatively flat with last year’s?
Hank Henderson: Well like we said, we came out with a strong May and we have seen a lag this June.
Daniel Furtado – Jefferies & Company: I didn’t catch that one part of it. Now help me understand how because there just seems to be so many positive things going on in your business, how a slow down in the sale of new cars either does or does not impact your sourcing ability for inventory, because I would imagine that as people turn in less used cars, there’s just less inventory out there, or is there something that I’m missing?
Hank Henderson: No, you’re exactly right. So we buy locally so it happens on a very local basis. But sure as trade-in, the new car stores are getting fewer trade-ins and a little bit less in the market, but again the way we approach our buying, we’re not auctioned buyers and so we have guys out there running routes beating the bushes every day sourcing the cars. We have particular buyers designated to a couple of dealerships that there are able to find the number of cars. Of course, again, we’re very selective about what we buy. I think as you know, we don’t do all the reconditioning so we buy ready-to-sell stuff so it may mean we have to work a little harder, but we’re certainly able to find plenty of vehicles that we need to accomplish our sales goals.
Daniel Furtado – Jefferies & Company: I’m correct in assuming that as used vehicle prices fall, that allows you guys to source higher quality inventory and keep the prices relatively…
Hank Henderson: That’s right. That’s the real benefit for us is price has come down; and since there are more cars out there, you’re exactly right, our quality can improve. We can see lower mileage vehicles, that sort of thing, which it’s the better quality car, the more likely it is to get paid for.
Daniel Furtado – Jefferies & Company: So if I understand this right, your customer base is expanding, margins are holding in because of what we just talked about on used cars, it just seems like there’s so many positive things going on with business. What’s the risk to growth? It seems like your stock is a pure counter recessionary or counter cyclical…
Hank Henderson: Our biggest risk to growth is our sales. We’ve seen that and that’s what our experience tell us, getting ahead of our sales, maintaining control while we grow the business.
Daniel Furtado – Jefferies & Company: I guess from the sales standpoint then since you started business in ’81, what tends to happen to unit sales when we get into recessionary? I mean do you see a slowdown in unit sales or do you see a slowdown when the economy is expanding? Like what typically out of those several cycles that you’ve seen tends to happen in recessions to unit sales?
Skip Falgout: Frankly it tends to be pretty steady. We’re not tremendously affected either way, as long as we can source adequate inventory. This demographic, the unbanked and credit impaired customer-base is a huge customer-base and still needs these cars in the markets we’re in.
Hank Henderson: We got emphasize that what they’re buying is a necessity.
Daniel Furtado – Jefferies & Company: Right. Understood.
Operator: Your next question comes from the line of [Gene Musad].
Gene Musad: How many shares do you all have outstanding now?
Jeffrey Williams: 11.650 million.
Gene Musad: That’s all I had. Just much congratulations. Thanks for your hard work.
Operator: Your next question comes from the line of John Kurdy..
John Kurdy : I have a couple of questions. First question is on your sales mix. Is you percentage of picks and SUVs as a percent of your sales mix going up, and what kind of implications does that have for your weighted average selling price?
Hank Henderson: I would tell you over actually over the past few years goes up and a lot of that is just the natural mix of what’s on the road. If you go back in time five or six years go and even a little further, there were more and more SUVs being put on the road, so there’s more and more traded in today. So partly what we sell is a reflection of just what’s out there, (inaudible) goes up somewhat. Again, remember, we’re across the South and trucks and SUVs are popular. A lot of our customers are rural folks. Also, very frankly what we find to be true is that people are more inclined to pay for a vehicle they like. So we try to balance knowing that they need to put gas in it, but also we want to sell a customer something that fits their needs and what they like. With all that, yes, the number we carry has gone up.
John Kurdy : On balance, are you seeing a vehicle that maybe has a little fewer miles and in better shape than a few years ago?
Hank Henderson: I would tell you very recently yes. Obviously because a lot of people are shying away from SUVs, we know that the price of those has dropped so that enables us again going back to what we said earlier, as prices come down, we’re able to get better quality. So I would tell you that we feel like certainly now and as we go forward in the near-term, we’re going to have opportunities to buy better quality SUVs than we were the past couple of years. That’s just a benefit for our customers.
John Kurdy : Then I had a question on your lot capacity, you mentioned that you’ll be expanding a few. Wondering how many of your lots are capacity constrained and unable to be expanded?
Hank Henderson: This always since we first began, this always kind of part of how we grow. When we first opened a store, we typically will open in a small location with not more space than we need and as it grows at some point we’ll either expand that location or we actually move. I mentioned, some of the ones I mentioned earlier like for example the North Little Rock store, when I say expand, that one’s actually moving to a larger property with a higher traffic count but yet still in the same town. So this is something we’ve always done. We always have a half dozen projects at least under works and just as our stores grow, we expand their facilities.
John Kurdy : Then just a question on personnel turnover and training, I know a few years ago you were in the process of upgrading, standards upgrading training and all that. What’s been the outcome there?
Hank Henderson: Our training has definitely improved quite a bit. Certainly it’s much more structured, still relatively young in the process. I would tell you that the turnover continues to be somewhat of an issue for us that we’re focused on and it’s something we talked a lot here in hopes to see some more strives and (inaudible) is not satisfied with it and we do have a lot of room for improvement there.
John Kurdy : Just lastly, as the income kind of slows and everything, are you seeing the opportunity or are you picking up market share at the expense of the independent operators who maybe are having a hard time sourcing cars or just doing enough volume to stay in business so that’s providing you additional market share?
Skip Falgout: I would tell you, it’s such a big market that market share is hard to define really. But our increased levels of sales, we know we’re getting some sales that probably would go to other deals in part because of their credit limitations either internally, the dealer doesn’t have credit available or the customer doesn’t qualify for some of the credit that was available. So we think we’re getting a benefit from that. But you know a small town may have 10 or 15 dealers that it’s hard to, if we grab 4 or 5 more sales, it’s significant to us, but it’s just hard to measure market share.
John Kurdy : Thank you very much.
Operator: Your next question comes from the line of Daniel O’Sullivan – Utendahl.
Daniel O’Sullivan – Untendahl: Jeff, I don’t know if you gave the number out. Can you give us the revenue from the payment production plan in the quarter?
Jeffrey Williams: We have not disclosed that number yet. It’s an add-on sale as part of the sales process, just like a service contract is. We’ve not disclosed that number separately yet.
Daniel O’Sullivan – Untendahl: I wanted to discuss inventory levels a little bit. I guess it sounds like people are probably preferring to stay in their used vehicles a little bit longer as opposed to buying new. Are you guys pretty comfortable with where you are with inventory going into the summer selling season?
Hank Henderson: Absolutely, we definitely have plenty vehicles going in.
Daniel O’Sullivan – Untendahl: Just quantify a little bit, I think you made a comment, the customers you’re putting into the trucks and the SUVs, how do you go about understanding or quantifying if they’re able to afford gasoline at $4 per gallon?
Hank Henderson: It’s pretty basic stuff here. When we sit down with the customer, we’re going over their bills and here’s how much the payment’s going to be and here’s likely what it’s going to cost. Of course, a lot of these customers, keep in mind, a significant number of our customers are repeat customers so we have a relationship with them and able to talk to them about this, and we hope that together the manager and the customer are making a wise decision.
Daniel O’Sullivan – Untendahl: One last one, Jeff, you guys have seen a vast improvement in your net charge-offs. Do you think there’s more room to improve that or would you guys be cautious given the current climate out there for the consumer?
Jeffrey Williams: Yeah, I think we had an exceptional spring on charge-offs. We’re coming in to some months, which historically have been a little higher on the charge-off side, so that it’s not going to surprise us at all if that doesn’t come up a little bit. The previous question was the range and 21 plus or minus one-point either way is kind of what we’re thinking so that’s where we think it’ll settle down in that range.
Daniel O’Sullivan – Untendahl: I mean you’ve implemented a lot of things, in collections and your scoring model and things like that, I guess what I was getting to, are we still in the middle innings of those programs or do you think you can continue to tweak those and improve upon those to keep charge-offs down?
Skip Falgout: We continue to improve on, but there does a come a point where when you’re dealing with this customer and a used car that if we still have some risk in any deal we make, so there comes a point where you almost give us some profitability by not taking a certain amount of risk. It’s a fine line there.
Jeffrey Williams: We’ll never use this deal to sell less cars. That’s the not the point. Trimming off the bottom customers are trimming off the ones that are going to be less likely to pay is certainly the point, but more than anything just predictability of the pools and making sure that the distribution of scores is right by law is what the tools going to be used for primarily and to assist the lot managers with another tool in his toolbox.
Daniel O’Sullivan – Untendahl: I see. All right, that’s it. Thanks a lot guys.
Operator: Your next question comes from the line of Jeff Smith.
Jeff Smith: You all instituted this payment protection recently, it looks like the margins were down in that business or in that service in the quarter, just assumed that it would be higher margin. Can you kind of tell us the status of that new plan and why the margins were a little bit less in the quarter?
Jeffrey Williams: It’s a new product for us, so coming into it we weren’t exactly sure how the margins on the product by itself would work out. For the entire fiscal year, the margins on that product were slightly better than our overall margins. But for the quarter it was a little less and that just was a reflection of some claims under the policies or under the program and it’s going to take us a little while to see what the true run rate of the product on its own is going to look like. So we’re just still in the initial stages of having that product out there and need a little more time to see how it’s going to work out.
Jeff Smith: Then you’ve installed this new software both on the front end on the application side and then the back end on the collection side. Can you expand on what exactly you’re looking for and how that’s helped you I guess choose better loans?
Hank Henderson: Well like we said, we’re for a time tested behind the scenes really scoring the sales that are being made so we can learn more about it. We’ve been testing it live on a select number of lots. As I said earlier, we’ll have rolled out to all of our stores by the end of July, so we haven’t even completely got it out there. It does score the loans and really what we’re doing is we’re feeding back to the manager their own information and giving them a tool that they can use to make much better decisions up front and each month we can sit down and, as Jeff said, look at the mix of how many really strong or how many maybe somewhat weak deals were made so we know what we need to tighten up. It just really gives us, puts us in a lot better position to control the quality of the sales we have out there. Separate from that, we also mentioned that we added our collections module; and that’s something totally separate, but that’s something that our collectors use to collect much more efficiently and also give the manager a lot more information than they had in the past on the individual performance of each of their collectors.
Jeff Smith: So it seems like you’re taking in better loans and I guess one of the risks that remains is the loans that you have on the books. Any trends at all there other than the metrics that we see?
Jeffrey Williams: No. Even our loan terms 26/27 months, if you have issues in your pools, they do pop up pretty quickly and we have not seen anything significant to date that indicates that the quality’s not improved and we got a good solid portfolio there.
Skip Falgout: I would add, the things that we started doing over a year ago, tightening the loan terms and requiring higher down payments, in and of itself, has improved the quality of the pool starting back, I guess when did we start that back, about a year ago, and even before the scoring system, which is just, is actually just being rolled out, there was tightening of the loan terms and really slowing down the growth of new loans for a period of time to improve the quality. I will tell you the metrics show it with lower delinquencies and lower credit losses that the portfolio, the existing portfolio’s in pretty good shape.
Operator: Your next question comes from the line of Peter Fortzel.
Peter Fortzel: Listen, just a couple quick questions. Can you give some color on staffing the new lots and how that’s going?
Hank Henderson: As we’ve mentioned earlier, we have expanded our training specifically. A lot of our efforts right now with training or with regard to our future managers. We’ve really beefed our managers in training program. We’ve structured all the various testing of the different components of the things that they need to learn. We feel very, very good about that. Of course, we also have efforts in place that continue to do a better job of hiring process or selection of process. So, yeah, I think we continue to do better and, as I mention though, we still have some issues with turnover. We still have a lot of room for improvement there in that the big focal point for this next year. But, yeah, overall I think our staffing continuing to improve, but it’s not completely where we want to be.
Peter Fortzel: Hank, I missed part of the beginning of the call. Did you talk about the Arkansas Litigation and how we’re going on the rate increases there? The last time we talked, you said you were getting a bit of traction.
Hank Henderson: With regard to our user limit, that’s actually at the federal level. There are people in Washington working on that. We get updated every week and it’s my understanding that it is drafted and they’re still just in the process of trying to figure out what it’s going to be attached, but there’s not actually a proposal… There’s not actually a live bill out there today.
Operator: You have a follow-up question from the line of Bill Armstrong.
Bill Armstrong – C.L. King & Associates: If you’re not using auctions any more or less than 10% anyway, what are your primary sources of vehicles now?
Hank Henderson: Pretty much like it’s been for quite some time, and I would tell you that auctions have never been really a big part of our buying. We can go back in time where our buying from auctions was zero. We did go through when Katrina hit Louisiana really regionally that was probably the biggest really shortage of vehicles we’d ever seen because there was such a demand for used vehicles across the south that during that time period, we probably bought more from auctions than we ever did and we were able to get a vehicle, but the transport cost, the auctions fees and all that is not as sufficient for us, so we do a better job in the management of our (inaudible) and so we continue to scale that down. Really our auction use is primarily just to supplement in specific areas or to try to get certain types of vehicles. We have buyers that run routes every day that call on the new car stores buying their trade-ins and also a number of wholesales that we deal with and we also buy some from individuals as well. Really for us, there’s less cost associated with that, but also it goes back again, we’re very, very selective about what we buy. We want to set our customer up with a solid vehicle and in order to do that we have to look at a lot of cars and we actually look at a lot of cars we don’t buy and it’s just as much of the cost it’s also being able to thoroughly drive and check out a car and be satisfied with it before we buy it and we just don’t have as much opportunity to do that at an auction so we try to be pretty disciplined about limiting the number of cars we’re going to buy through auction.
Bill Armstrong – C.L. King & Associates: Are you seeing impact at all either in sourcing or in demand from these floods in the Midwest that we keep hearing about?
Hank Henderson: No, we haven’t seen any impact at all.
Skip Falgout: There will probably a few of those vehicles hitting the market here shortly and we’ll do everything we can to avoid them.
Hank Henderson: We have retained, matter of fact, we had one last week even. Our buyers talk frequently about those very type things and of course they’re trained thoroughly on how to detect flood cars and so we think we do a good job of saving those off.
Bill Armstrong – C.L. King & Associates: Then just one quick question for Jeff: In the average selling price that you give in your press releases, does that include the payment protection plan?
Jeffrey Williams: Yes, it does.
Bill Armstrong – C.L. King & Associates: It does?
Jeffrey Williams: Yes.
Bill Armstrong – C.L. King & Associates: So you kind of, how do you determine… Because that’s a monthly payment or a weekly payment, how do you determine what the…
Jeffrey Williams: It’s the amount of that product that gets taken into revenue. It’s just like a service contract. It’s an add-on sale; and as we earn it, it gets taken into revenue and that revenues spread over the number of units we sold that month. It’s just part of that overall average sales price.
Bill Armstrong – C.L. King & Associates: Okay, I got it. Thanks.
Operator: Your next question comes from the line of Gus Sylvestery.
Gus Sylvestry: I was curious in terms of the impact on your recoveries that repossessions played. I was curious how many cars you repossessed in the quarter.
Jeffrey Williams: As far as percentages, historically maybe 40% of cars at some point would get repossessed. That’s about where we’re at for the quarter and for the year and a lot of those are at the very tail end of the contracts. The loss is much, much lower but no significant differences there other than just generally lower levels as we work toward the end of the year.
Gus Sylvestry: Then in the press release, I think you talked about the tracking that you’ve deployed. When did that… Is that anniversaring near-term or when did that get put into place?
Jeffrey Williams: The tracking of what?
Gus Sylvestry: I think you talked about your ability to track vehicles, that you’ve improved your ability to track and I was wondering what you might attribute that specifically to.
Hank Henderson: Are you referring to the scoring?
Gus Sylvestry: I thought it was more in relation to the cars.
Hank Henderson: The Collection module actually started, we began rolling that out I believe December and January and that is on all of our stores and it’s really attracts, as much as anything, it attracts the individual performance of our collectors and it also provides them more information and just a way to more efficiently collect their account. It’s going very well.
Operator: Your next question comes from the line of Kelly Wiggin.
Kelly Wiggin: I just wanted to see if you could give us some more details about the payment protection plan, specifically what you’re charging for, your penetration rates and how you plan to roll this out in the future.
Hank Henderson: Well, right now it’s pretty well rolled out. As we said, it’s in most all the sites we operate. It’s available in the states that represent 85% of our sales. Where it’s offered, our penetration rates are over 90%. Virtually all the customers like it. They take it. It is based on the calculation is of the amount we charge for just based on the amount they finance. It is a debt waiver whereby if the customer’s vehicle is stolen or totaled, we waive the balance.
Kelly Wiggin: So I’m saying this is essentially a gap product.
Hank Henderson: No, not exactly; it’s better. It actually, this will take care of the entire balance for our customers. It’s also relatively very inexpensive. Typically as you roll it out through the whole term, a customer is probably on average spending somewhere between $15 and $20 a month to have this and so many of our customers don’t have or can’t afford full coverage insurance. Obviously it doesn’t fix their vehicle if it’s wrecked. In the case where a vehicle is stolen or totaled, this actually provides them, it’s a better situation for them because it will cover the entire balance this way. The customer doesn’t have a deductible that they have to pay. Again, one of the primary reasons we offer this, obviously it’s a great service to our customer, but it’s also we’re about repeat business and over the years we have lost some customers from these situations. This provides both the customer and us a means to get out of that situation and hopefully keep their business. It’s yet again something else that a customer can get at Car-Mart that they can’t get anywhere else and just one more thing that sets us above and apart from the other guys.
Operator: At this time, there are no further questions.
Skip Falgout : Well if that’s all the questions, we like to thank everybody for joining in with us today. It was a good quarter and was a good year. We made a lot of progress through the year and we look forward to continuing that progress in ’09 and beyond as we discussed of showing some issues out there externally we’ll fight through, but I think internally we’re making great progress in what Car-Mart does everyday and we look forward to a good ’09. Thank you very much. If you haves any other questions, feel free to call any one of us.
Operator: This does conclude today’s conference call. You may now disconnect.